Leonardo Karam: Good morning, and welcome to Usiminas Conference Call where we will discuss the results of Q4 of 2024 and the year of 2024. I'm Leonardo Karam, Usiminas' Investor Relations and General Manager. For those who want to follow along in English, the simultaneous interpretation of the webcast presentation is available on the Usiminas IR website. We also have an interpreter providing simultaneous translation. Please select your preferred audio channel by clicking on the icon at the bottom of your Zoom screen. All participants are connected in listen-only mode and questions may be submitted in writing in the Q&A session of Zoom. Participants listening in English can also question directly in this section. This conference call is being recorded and simultaneously broadcast on Usiminas YouTube channel. We remind you that this conference is exclusively for investors and market analysts. Please identify yourself to ensure your question is addressed. Any questions from journalists should be directed to Usiminas Media Relations via email imprensa@usiminas.com. Before proceeding, we would like to clarify that statements made during this conference call regarding the company's business outlook as well as operational and financial projections regarding its growth potential are forward-looking statements based on the management expectations for Usiminas future. These expectations are highly dependent on the performance of the steel industry, the economic condition of the country and the international market situation, and therefore subject to change. Today, we are joined by our CEO, Marcelo Chara; the Vice President of Finance and Investor Relations, Thiago Rodrigues; and Vice President of Sales, Miguel Homes. To begin, Marcelo will share some initial remarks followed by Thiago, who will present the results. Afterwards, we will address the questions submitted in the Q&A session. Now I hand it over to Marcelo. Marcelo, you have the floor.
Marcelo Chara: Good morning, ladies and gentlemen. Thank you for participating in Usiminas earnings result call for the year 2024. This year was highlighted by important advances in our operations, a result of the investments of the past years and the dedication and the commitment made by our team. With this, we reached the second greatest production volume of crude steel, since 2015. In addition of the increase in volume, we captured productivity gains and operational efficiency. The cost of the product sales per ton dropped 11% vis-à-vis 2023, including for instance gains with the best consumption of fuels. With this, we ended the year with an adjusted consolidated EBITDA of BRL2.6 million during the year 2024 to highlight to the steel unit that grew 31% in, regarding the EBITDA vis-a-vis 2023, the result of mining in 2024 were impacted by the drop of prices of iron ore and sales volume. We've started new networks that will increase the value of our material, while we control the cost in a scenario of unstable prices. We still have a long way to go. And with our management focus on operational excellency, we trust that we will evolve throughout 2025. The investments underway will also help us in, to gain competitiveness in the mid-run. We are repairing our coke and our PCI plant that will significantly reduce costs in fuel and reduce the emissions of CO2. We are building a new gas pipe in addition to creating more safe in the operational unit. And the star part of a solar complex is already a reality that it has been materialized. In the market, the demand of flat steel grew 9.8% in 2024, totally 15.7 million ton. It is the greatest level, since 2013. This is a result of the moment of the automobile industry, home appliances, industrial assets and household essential markets. The expectation for the economic activity of 2025 believe that we will grow 2.5%, like, and like areas that consume steel like home appliance, automobile and household essentials. Usiminas prepared to meet the demand of the climate, but the cycle of monetary tightening with high interest rates will slow down the growth throughout the year. Within this internal challenging context, and with the - in a stability of international trade, it is urgent to deploy effective measures of trade defense regarding the imports by products that are subsidized that create unfair competition in the market and redo and the market cannot expand its investments and generate job. So, Brazil had two years of growth in the GDP, but they did not harness the opportunity to develop the local transformation industry. We need more effective measures, the tariff quota measure adopted in 2024 was inefficient to guarantee the competitive economy of Brazil. Just to give you a perspective, within the same period, the imports of flat steel grew 57%. In 2023 and 2024, Brazilian market received 5.8 million tons of imported flat steel and 78% came from China. And this, and China continues with surplus and flooding the world with steel at subsidized prices. The unfair imports will also affect products that contain steels like machine equipment, vehicle, spare parts and structures. The price of these increased 30% in the past two years we have 30 more industrialized products coming into our country. In addition to this, the new worldwide scenario with changes of trade defense, defenses are creating more uncertainty to the market. Nonetheless, we in Brazil should concentrate on fighting against unfair practices that affect our country. To face this challenge, it is important to have preliminary measures regarding the dumping in the investigations of coating products and cold rolled steel. We are prepared to compete in scenario of isonomy to provide good value to our customers. Environmentally, we announced our decarbonization program reducing by 50%, the greenhouse gas effects per tons of crude steel until 2030. Our sustainability activities has been recognized and we have attained an ESG rating and received also a silver stamp. For the second year, we have been announced in the Environmental Sustainable Index B3. We're the only company of the steel industry that is part of this group. In the social aspect, we started retrofitting this school. In Ipatinga, we continue supporting the culture, sport and education programs. In the communities where we operate, over 670,000 people are being benefited with our programs. This in 2024, despite the challenging scenario. The expectations for Q1 and 2025 in the steel unit continues being positive. We expect an increase of the sales volume in the domestic market to, we believe that we will slightly increase the sales of steel with a better mix. The expectation is the net revenue per ton slightly above low quarter because of the best sales mix and the transfer of price in the industrial industry. Regarding the sales costs, we also expect a slight improvement with continuous efficiency gains in the operations in a mid and long run project. Now in the mining unit, the expectation is a stability in sales. We expect an improvement in the consolidated results of Usiminas on Q3 of 2025. I would like to end thanking the dedication and the commitment of all of our employees in each one of our units. And also our customers and the community for trusting us. Thank you very much. And Thiago, our CFO has the floor now.
Thiago Rodrigues: Well, good morning to everyone. Now, we will show you now the financial results, and then we will hold our Q&A session. We will start with the highlights of the year, the 2024 in steel sales. There was an increase of 8% in domestic market sales and a drop of 11% in our COGS, which offset the worst market prices of 2024. When we compare it to 2023, the drop in COGS was the main factor that improved our results. And here we have a significant growth of 31% in the adjusted steel EBITDA. Now consolidated results are; we ended with BRL1.6 B, net leverage 0.58 times in 2024, we initiated actions to extend our debt with debentures of BRL1.8 billion. And in January, we concluded the issuance of $500 million in the foreign market, in order to pay our debt that is due in 2026 and to increase the duration of our debt. Now regarding the results of the year, we - there was an increase of 6% in total sales of steel BRL4.2 million. Now in mining, there was a drop in production and sales, totaling 8.6 million tons. Now the significant improvement in the steel result wasn't enough to offset the results of the mining unit impacted by the lower prices of iron ore in the consolidated adjusted EBITDA, well is stable regarding 2023, the yearly net profit, well was strongly impacted by the valuation or the appreciation of our currency. Now, when we see the quarterly result in a consolidated way, there was a drop of net revenue at 5% ending with BRL6.5 billion. This is a result of better sales volume in steel's while in mining the revenue maintained itself stable. Now, the adjusted EBITDA maintain the trajectory of the past quarter growing 22%, ending at BRL528 with a 2% percentage points increase. And now we will see the mining unit. Now, the net income was impacted by the exchange rate variation. Now, in our next slide, we can see the steel unit results. The sales volume was 1.057 million tons and there was a drop, because in - regarding the last quarter, there an increase of 5% in the sales volume for the domestic market, when we compare it to the same period of 2023, and we can see how the demand was good. The net revenue of BRL5.848 billion, this - BRL5.840 billion this increasing 1% because of better sales mix in the foreign market, the worst mix, the revenue per, total revenue per ton maintained itself stable. Now, the adjusted EBITDA was BRL366 million, although with lower sales volume, the margin was stable by 6.3%. Now, on our next slide you can see the quarterly variations between the third and fourth Q. The drop are because of lower sales volume, there was a BRL21 million and BRL32 million came from other revenues and expenses, because of the recognition of a non-recurring revenue of BRL29 million, because of a legal action where there were positive actions of BRL22 million, because of better prices and BRL19 million because of better sales costs, especially because of the costs of the raw material that were better. Now, the mining unit results. Well, the sales were 2.2 million tons and as expected there was a drop of vis-a-vis the past period. Although a lower sales volume the net revenue maintained itself stable BRL767 million because of the better prices of iron ore during this period offset by greater sales without including the freight. Now, together with this we have positive effects because of the exchange devaluation and because of the drop of maritime freight drop and the margin increased 14 percentage points totaling 20% and an EBITDA of BRL154 million. Now to when we see our financial indicators. On Q4, we registered an increase of working capital of BRL142 million, mainly in inventories or stocks. The operational cash flow was positive by BRL121 million unexpected, there was a CapEx increase in, during Q4 that was BRL382 million and the total is BRL1.1 billion that is part of the guidance that we announced for 2024 and 2025 is to increase our CapEx. It will be between BRL1.4 billion and BRL1.6 billion. And to end, our cash balance ended the year in BRL6 billion stable vis-a-vis the last semester the gross debt increase because of the exchange rate, but with the improvement in our results, we ended a year with a leverage of 0.58, which is comfortable and stable. The debt profile in December still does not reflect the issuance of $500 million carried out in January, that we will use to amortized the bonds that are due in 2026. The issuance was successful with a lot of demand and we were able to capture the lowest threats amongst all the issuance carried out by Usiminas, that demonstrates how our investors trust our capacity to honor our commitments. Well, this was a brief presentation. I give it back to Leo, so we can start our Q&A session.
A - Leonardo Karam: Thank you, Thiago. So we will start our Q&A session. Our first question is regarding costs from Daniel Sasson from Itaú BBA; Marcio Farid, Goldman Sachs; and Carlos de Alba from Morgan Stanley. Daniel talks about the drop of cost expected. We have already given you an outlook. Do you know how much will come from a stronger real, and how much is due to the blast furnace efficiency? They want to know about potential gains for the year regarding the blast furnace efficiency and other alternatives of cost reduction. Thiago, you have the floor.
Thiago Rodrigues: Okay. Well, thank you for the question. Our expectation for cost reduction on, during the next queue does not consider an important exchange rate variation. Now, the exchange rate variation from one-month takes some time to impact the results. This drop that we saw in January in the exchange rate very little affects the February result and perhaps a little bit more on March. So the drop expectation is not relevant. When we think about the exchange rate and the real's appreciation.
Marcelo Chara: Well, I will try to add something. Well, what is important is to improve industrial efficiency and we have a number of initiatives that are focused on this, in order, in order to be competitive in any change, in any scenario that changes. And this is basically based on the working line that we have developed throughout these past months. In fuel efficiencies improving the productivity per ton of working productivity. We've achieved more efficiency reducing labor hours per ton in a number of facilities and mainly the efficiency when we hire third parties. So yes, we do have an encompassing systemic deep program to improve our cost. And we are focused because we want to supply more and more our competitiveness.
Leonardo Karam: Now, when we think about cost, people want more color. Regarding the exchange rate, Guilherme says, Guilherme says will we see the oscillation of the exchange rate now I want to know that in an accounting period, we will see drops in raw material in the beginning of 2025? And if the current exchange rate will no longer be an obstacle like during Q4. And Ricardo wants to know what is the exchange rate that you are considering? And how do you see this in spread when you, in spreads when you see the raw material in dollar?
Thiago Rodrigues: Our cost equation of the steel industries are highly known, where an important percent, suffers the dollar effect well, because of the metallic load and because of coal. This is part - this represents between 60% and 75% of the cost of these industries. Now, there are two clear effects in terms of costs. As part of our costs are in BRLs, appreciated dollar, improves our cost and competitiveness for costs. This happens in all the transformation industry. Now, this also impacts prices because our costs are above 60%, 65% of 70% in dollars. Clearly, when you have a devaluation of your local currency, you end up transferring these costs. And not only in the steel industry, we see this in all the factors that receive strong influence of dollar in their composition. This is why these variation, these fluctuations in the short run, well, they do generate a necessity to accommodate prices to accommodate. And there are accounting adjustments because the functional currency of Usiminas is the BRL. But the exchange rate for us is a transitory issue. We want to be competitive in any exchange rate. We want to prepare and we are prepared to face fluctuating scenarios with a strong position and a cost efficiency.
Marcelo Chara: I would just like to add something to tackle the other questions. Now, the effect of the exchange rate in one-month, it takes at least one-month until it effectively affects the result. The valuation of the BRL in January will, will affect very little the results in February, and will affect the results in March. Our expectation of cost reduction does not consider this exchange rate effect. It is basically due to gain - efficiency gains and operational improvements. So evaluation of the BRL can helps us. But we will not see a relevant impact during this quarter. We will see what happens with the exchange rate throughout the period. You asked about the prices of raw material. We've seen a drop in raw materials in the past quarters. For the next quarter, we believe that this effect will be more stable. Therefore, we will not see a relative positive effect regarding the prices of the raw material when we compare it to Q4.
Leonardo Karam: Thiago, our next question regarding CapEx. There are another - a lot of people, Daniel Sasson, Itaú BBA; Giovanna from Santander; Marcio Farid, Goldman Sachs; Guilherme Nippes, XP; Ricardo Monegaglia, Safra. Daniel, wants to know about this CapEx of 2024. It was BRL700 million lower than the guidance provided in the beginning of one, we gave BRL1.1 billion, and we achieved BRL1.1 billion. He thought that the difference would be seen this year, but the guidance was below the consensus number. Why did you review your guidance? What explains this? Let's see, if there - so what is the timeline? And what is part of this? What would be PCI, the coke plant? And if we can segregate maintenance and expansion. And finally, if you will postpone investments in - from the company's project?
Thiago Rodrigues: Just I will comment, and if Marcelo wants to add something. So, the 2024 CapEx, the drop was because of an - because the hot revamp of the coke plant. And it was slower than what we expected. We're talking about an investment that takes place while the coke plant is in operation. This is a very complex process and this is why we had to dilute through the timeline. So this repairment will take longer than what we expected initially with not impacting the value of the CapEx of this investment for the next year. We have a relevant value. When we think about the CapEx of the PCI plant, that will enable to increase the coal and to reduce the injections of coke in the blast furnace. And with this we have cost reduction and more productivity and we will issue less greenhouse gases. And this is a priority for 2025. We calculate a CapEx, the maintenance CapEx around BRL1 billion between BRL900 million and BRL1 billion. So the guidance for 2025 of a CapEx up to BRL1.6 billion is considering the sustaining CapEx.
Marcelo Chara: Now, in addition to what Thiago said, we have carried out a deep restructuring in our engineering area mainly focused on improvement and also the performance. So our execution qualities and cost efficiency when we hire - in our hiring process, that impacted and there were delays in our two main projects. We are up and running in the coke, retrofit in the coke plant, retrofit that is a lot - this retrofit is aligned with our schedule and the PCI project is also running stably. We already seen the industrial - the - we've seen the industrial configuration in, in Ipatinga, we want to start the tests this year. And there is another important project underway that is the new, the gas pipe system to improve energy processes and to improve our competitiveness that is what concentrates more - this is where we concentrate our efforts in terms of sustainability and great effort that we're developing in our OpEx. During this year, we've created a cycle of ordinary repairs without affecting our productivity. And we are focused on improving our reliability. We have industrial systems in order to improve the environmental performance as well as productivity and efficiency. In a number of our key facilities, the cycle will be extended. We have a detailed five-year plan to incorporate automations, management systems with, with state-of-the-art technology, in order to obtain the best performance mainly environmental matters and also affecting costs in the upcoming years.
Thiago Rodrigues: I would just like to add something there were no investment delays. All investments that have been approved are underway. And once again, as we already communicated in 2024, the reason why we reduced our initial guidance was because of our investment on our coke plant and the beginning of the investment of PCI that is up and running will end this year. And the expectation is to see the benefits of the increase of PCI injection in the beginning of 2026.
Leonardo Karam: Thiago, just one more question from Igor Guedes from Genial. How can you measure the impact from the PCI plant? How can you measure the efficiency impact?
Thiago Rodrigues: Well, with this we will be able to double our injection rates in the Blast Furnace, Blast Furnace 3 mainly. And this is significant in the fuel mix, not only an improvement, this reduces the emission levels and we can use coals of much lower cost. And this is our forecast. We believe that we will double and we will, we will replace the coke volume. We reduce practically proportionally the amount of, of coke that we will use in our load.
Leonardo Karam: Thank you. Our next question for Miguel, is regarding exports. We have Edgard Souza from Itaú; Carlos Alba, Morgan Stanley; [indiscernible]. They want to know about exports. Edgard has written a text. The high volatility of exports of 2024 in terms of volume, and in terms of realized price during Q2. At Q3, the realized export price was better than in the domestic market, but with very low value. This was seen in Q4, with the reduction of prices and increase of volume. How do see exports in 2025? We will see low volumes with a better mix or ever growing exports used as an escape valve because of a future slowdown in the market. Carlos de Alba wants to know about the mix. What do we expect about the mix from here now? And Edgard is also asking, if - he wants to know about the domestic market, if the devaluation of the dollar will affect us.
Miguel Homes: So, thank you, Leo. Okay. I was missing these market questions regarding exports. As we always see, Usiminas is focused on servicing the domestic market. And Argentina is an extension for the oil, automobile industry, oil and gas and renewable energy and products where Usiminas is very important in the region. Our regular exports will be geared to the Argentine automobile industry for projects of oil and gas in Argentina and the region. And this segment today is increasing the demand. We have been able to capitalize and to close the supplies of products to work with gas and oil pipelines in Argentina that are under development. In addition to this Usiminas is always paying attention to export opportunities to non-regional markets every month. Now, obviously the sales decision or the export decision will always depend on the profitability of each one of these businesses. The international market is pressuring prices and margin because of the high Chinese surplus, not only directly, but indirectly because China increases the exports to the Southeast Asia and these countries sell their products to the European or the American market, where we today see new tariffs or protectionist measures. Our export will be focused on the regional markets, mainly Argentina and products of high added value. In the guidance for Q3, first Q we want to reduce export compared to Q4, where we saw exports to non-regional markets. And this focus in these markets and in these segments will present a better average price due to the mix of products.
Leonardo Karam: Thank you, Miguel. Miguel, there's a question about demand. Ricardo Monegaglia from Safra; and Marcelo Arazi from BTG want to know what is the expectation of steel consumption in Brazil in 2025? Brazilian steel dropped 7% year on year. In terms of demand, in your release you say that still demand during Q1 is resilient, but he wants more granularity regarding what you see in 2025, if there are no signals of slowdown because of the macro problems that Brazil faces.
Miguel Homes: Okay. Thank you very much for the question. It is important to remember that we come from a good 2024, regarding the economy dynamic by the industries that consume still the automobile industry use - increased 10% home appliances, increase vis-a-vis the past years. And the economy by and large grew above 3.5% with a strong increase of family consumption and the strong increase of fixed capital that drives the steel consumption in Brazil. Our portfolio reflects the good - a good moment by the end of 2024. Now we're concerned the high level of imports that we've seen in the past two years. A growth of imports above 50%, most of them under unfair competition conditions. Now, our vision from here on and the slowdown due to the macro challenges. The impact of high interest rates and the demand can cause certain concerns, especially regarding family consumption or household essentials, that will, this can impact. And we believe that high interest rates for a long period of time can affect them. Fabio expects a good 2025 for the car production, like about 8% oil and gas presents an important increase in projects and some of them finalized. So it is important to follow. We have to pay attention to the macro signals because they can impact us. But during Q1, we have a sound portfolio that still reflects the good moment of 2024 that we observed.
Leonardo Karam: Our next question is for Thiago and Marcelo. It's about Moza Giovanna from Santander; Farid for Goldman; Camilla Barder from Bradesco BBI. They want to know how we assess the performance of MUSA. What is the lifespan of the MUSA mine. And what is your expectation regarding the CapEx of the Compactos project?
Marcelo Chara: MUSA. Let's say, we believe that it is a competitive operation. It is the only of the four greatest mining units in Brazil, that operates dry, doesn't have dams and has a clear plan. We have a new freight, and we believe that are - that in a market with uncertainties, the performance has been excellent with an ambition cost reduction plan. And simultaneously we have important reserves of high quality iron ore that is part of our long-term projects. And here as we have mentioned - so we, we have a licensing process as well. So our assessment is positive, and it's - and we are moderately optimistic because the market prospects are uncertain. We don't know how the prices will evolve. Now, the lifespan of the current operation. Today, the lifespan is expected until 2030. As part of the process, we always try to carry out developments to extend the lifespan of this operation.
Leonardo Karam: Miguel, now prices in automobiles. Do you have any news regarding adjustments with the automobile sector? Now, if the price of steel flat that were transferred to these companies, a number of people Giovanna, Marcio Farid, Goldman; Guilherme Nippes, XP; Ricardo, Itaú; Guilherme Rosito from Bank of America; Caio of Bank of America; and Camilla from Bradesco.
Miguel Homes: The automobile contracts as of January 1st increased 3%. These contracts represent around 17%, 20% of our automobile portfolio in the domestic market and the Argentine market. Now the contracts as of April are in negotiation and we want to close these contracts with similar adjustments to that, to the adjustments in January. You also were talking about price transfer to the distribution market. Now we had a 5% price transfer. All of these adjustments that were - that started on Q4 are reflected every time we update an industrial contract that can be updated every three months or every six months.
Leonardo Karam: Thank you, Miguel. Miguel, this is for you. The guidance. It wasn't a guidance. If this reflects a conservative view, we - although the increases of August are more concentrated on the renewal of contracts. And Camilla wants more details, how have you increased these prices? You already answered this. And Guilherme wants to know about the price environment and the discussions to increase prices. Once again, they want to know, if you have a conservative view in the future regarding price increase.
Miguel Homes: Leo, as you mentioned, we transferred a, a 5% increase to the distribution and also to the renewed contracts. These review of prices in these two industries, in addition to the contract updates will be reflected in the average price of the first quarter. Now, regarding the increase of prices, we face an important challenge today, because of the high level of imports, especially in the distribution sector, because these products are of lower quality and they are geared toward less demanding industries in terms of quality. We don't want to be part of the spot and marginal market that doesn't value the quality of our products. And we want to focus more on the automobile and industrial sector. Of course, we have a share and we want to continue having a share in the distribution industry. And this is where we run into challenges in distribution. We want to generate a differentiation and to have very little impact, be - not, not be impacted. Now the challenge is major. And as Marcelo mentioned in the beginning of the - of his speech, today, it is extremely urgent for authorities to react rapidly before the unfair competition that we've been observing in Brazil for the past two years.
Leonardo Karam: Thank you, Miguel. Marcelo, a number of people want to know about commercial defense we have Giovanna for Santander; Marcio Farid, Goldman; Guilherme Nippes, XP; Tathiane Candini from JPMorgan. Guilherme Nippes, XP, and he got, everybody wants to know about what 2x about the tariff quota regime, if it will be renewed. What is the - what are the import tariff scenarios and the anti-dumping investigations? When can we expect a result? Marcelo?
Marcelo Chara: The quota tariff system doesn't work, because we continue seeing imports coming in interruptedly and, and grow when you see that in two years this has increased 54%, we're talking about flat steel and 70% coming from China. There are other sources that send their steel heel. The defenses, the protections in the different regions like the United States. And this generates, this steel goes into countries that are not protected and Brazil is not protected against these imports. We could be producing at full capacity. We're limiting our production now, and because we see steel coming from other countries and mainly from China, these costs are subsidized. And this doesn't only damage our - the steel industry, but all the value change. When you see the amount of steel that you have in the equipment structure, cars, it is a similar number. We've - we're talking about 6 million tons that hold steel. This is a loss of competitiveness by the industrial sector. We are losing highly qualified jobs and something that has to be corrected. So we are in conversations with the government, with Brazil is leading these governments. They are members of the board. I participate with my colleagues in the conversations, I value the goodwill of the Ministry of Industry and Trade. And they have tried to adopt measures, but it will be important to see in the next weeks and the next months to adopt protection measures with effective results. Now, we have to adopt a number of actions, not only quota and tariff. As I mentioned, this was totally ineffective. We have to adopt other controls. We have to clearly review bilateral agreements. We have sources of other countries that come into the country with benefits. But to export to these countries is unfeasible because they apply other types of tariffs. We are analyzing this and we're providing all of this information to the authority, so they know what is happening. Anti-dumping is a, is a necessary measure. We have provided all the necessary information. Cold rolled steel, galvanized steel, all - but we need preliminary measures as well. We trust in the technical capacity of the government's team. And when it comes to analyze data and all this detailed information, dumping is visible. It's clear because you can accurately calculate the impact of raw material in cost and how the metallic margin demonstrates negative values. And the expectation is to define this in the next weeks. And in the next weeks, if this doesn't take place, this will cause significant damage to the Brazilian industry. We cannot leave things as they are, where the recent measures announced and the, the U.S. measures. The U.S. measures announced they will - we will have lots of steel products coming in, and this will impact the industrial structure and there will be great job losses in the industrial sector. This is why we have to improve, we have to adjust the concept of rate quota and preliminary measures in the dumping process. And the - we have heard the automobile industries that want to adopt measures. We have to alert the value chains, so that they can question all of this in order to defend the industrial network in Brazil.
Leonardo Karam: Thank you, Marcelo. Now regarding this point, Miguel, there's a question regarding the U.S. tariffs. Caio Ribeiro from Bank of America; Camilla, BBI. They want to know about the impact that the rate from the rates from the rates of the United States. Do you believe that you can reallocate these volumes to other markets? Will this, Camilla wants to know in the, in the, in the price of slabs in the market, if they --
Miguel Homes: Caio and Camilla, it is important to comment, the exports to the U.S. are very low. They represent less than 2%. Now, this is in the past two years. The direct impact to Usiminas is very low, when we think about this. We have to remember that the coal rolled from Brazil to the United States are 400,000 tons and were limited by quotas defined by the U.S. So these are cold coils. So the - so, now the regarding slabs, it's very early to know how this can impact the, the slab market in the domestic and in the international market. We're going to see how this evolves and what happens between supply and demand and the possible negotiations that will take place between the U.S. and the - and Brazil.
Leonardo Karam: So we're practically running out of time. Unfortunately, we will not be able to answer all the questions, but the investor relations team will be at your disposal. Here we have three questions. Tathiane Candini from JPMorgan; Igor, want to know about MUSA, about the [Minaleste]. In your results, you expect a stable sales volume in mining. Is there an update regarding the, the shutdown? And if you expect it to reassume.
Miguel Homes: These are volumes of MUSA, Minaleste and also mining fronts. As Marcelo mentioned, we initiated our operation of new mining fronts last year and with this will increase our volume to more levels aligned with the past years. The treatment station east is still deactivated. The expectation is to resume the operation by the end of 2025. But regarding volumes, we will resume to levels that are about 9 million tons a year with the mining fronts that we initiated at the end of last year.
Leonardo Karam: All right, our last question from Carlos de Alba. He wants to know about working capital. He says that our working capital has been stable 6.9, and what to expect in the upcoming periods, if there is space to reduce the working capital during 2025?
Thiago Rodrigues: Carlos, well, working capital is at a normal level. We do not see major drops with structural matters. The variation of working capital will depend on the activity level, sales volume. It can go up, it can go down. But this is all connected to the sales volume of the upcoming quarters. Nothing very significant in structural terms. So to reduce our working capital, we don't have this on our radar right now.
Leonardo Karam: So thank you, Thiago, Marcelo, Miguel. And here we end our Q&A session. And we would like to thank all of you for your participation. Should you have further questions, our IR team is here to take your questions. Thank you very much and have a good afternoon.